Operator: Ladies and gentlemen, welcome to Tims China First Quarter 2025 Earnings Conference Call. [Operator Instructions]. Today's conference is being recorded. At this time, I would like to turn the call over to Gemma Bakx, who heads Tims China's Investor Relations effort, for prepared remarks and introduction. Please go ahead, Gemma.
Gemma Bakx: Thank you very much, Desmond. Hello, everyone, and thank you for joining us on today's call. My name is Gemma Bakx, Head of Investor Relations. I'm here to say that Tims China today announced its first quarter 2025 financial results earlier today. A press release as well as an accompanying presentation, which contains operational and financial highlights, are now available on the company's IR website at ir.timschina.com. Today, you will hear from Yongchen Lu, our CEO and Director; and Albert Li, our CFO. After the company's prepared remarks, the management team will conduct a question-and-answer session. You can find a slide presentation and the webcast of today's earnings call on our Investor Relations website. Before we get started, I'd like to remind you that our earnings presentation and investor materials contain forward-looking statements, which are subject to future events and uncertainties. Statements that are not historical facts including, but not limited to, statements about the company's beliefs and expectations are forward-looking statements. Forward-looking statements involve inherent risks and uncertainties, and our actual results may differ materially. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and risk factors included in our filings with the SEC. This presentation also includes certain non-GAAP financial measures, which we believe can be helpful in evaluating our performance. However, those measures should not be considered a substitute for the comparable GAAP measures. The accompanying reconciliation information related to those non-GAAP and GAAP measures can be found in our earnings press release issued earlier today. With that, I would now like to turn it over to Yongchen Lu, our CEO and Director. Please go ahead, Yongchen.
Yongchen Lu: Thank you, Gemma. Good morning, and good evening, everyone. In Q1, we solidified our differentiated strategic positioning in Coffee + Freshly Prepared Food by launching Light & Fit Lunch Box, [Foreign Language], a series of new platform combo products for the lunch daypart to boost lunch sales and offer our guests a healthy and tasty lunch option. The product lineups include hot baked bagel sandwiches, energizing lunch wraps and loaded power bowls, paired with our coffee or other beverage, all at an acceptable price point. With Tims China's Chibaobao 40% off discount card, the Light & Fit Lunch Box combo products pricing start from as low as RMB 24, near about USD 3.5, delivering both good value and great nutrition. Our latest Loaded Power Bowls products were launched in middle of May. They come in a standard 2 plus 8 plus 8 configuration, featuring 18 carefully selected ingredients in very bowl. The 2 stands for 2 portions of high-quality protein, while the two 8s represents 8 wholesome grains and 8 colorful vegetables, creating a nutrient-rich meal designed to meet the needs of business professionals and fitness enthusiasts alike. The light lunch box product has been a key strategic focus for Tims in 2025. It aims to reshape consumer perceptions of Tims as a lunch destination beyond our traditional strength in breakfast, as I also mentioned before, thereby creating a second high-demand meals daypart and driving sustainable revenue growth. It also introduces a fresh take on Western style healthy lunch in a cafe setting offering a complete entrÃ©e plus snack plus coffee meal solution. This is more than just an extension of our product lines, it's reimaging how busy urban consumers eat and exceeding their expectations. We are moving from singular coffee consumption to all-day healthy dining, embedding the cafe experience deeply into a health-focused lifestyle. These initiatives has been enthusiastically welcomed by the market since the launch, contributing meaningful incremental daily transactions to the post-holiday rebound in sales and help teams gain traction in the competitive white-collar lunch segment, setting a solid foundation for continued momentum in Q2 and beyond. Amidst macroeconomic volatility and intense market competition, our team has demonstrated great resilience and achieved significant profitability improvements [Technical Difficulty] efficiencies, supply chain optimizations and rigorous cost controls. During the quarter, company-owned and operated store contribution margin and adjusted corporate EBITDA margin improved by 5.9 percentage points and 6.1 percentage points year-over-year, respectively. We regained top line growth in the first quarter and achieved 3.5% increase in system sales year-over-year. Our sub-franchise and retail businesses also contributed steady cash flows and profitability. Profits from other revenues increased by 34.5% year-over-year. At the same time, we cut losses and adjusted corporate EBITDA by nearly half, 5-0 percent. These achievements are testament to Tims China enduring efforts and our strive for further profitable growth. On stores development and leveraging sub-franchisee partnerships, we strategically expanded our store footprint into 84 cities, including the city of Fuyang and Nanchang that we entered in Q1, while maintaining capital efficiency, delivering absolute convenience for our guests. Since we launched our individual franchisees program in December 2023, we have received over 7,000 applications and successfully converted nearly 200 stores by the end of March, showcasing market confidence in our franchisee model. We have a such attractive and desirable store unit economics for our sub-franchisees with a reasonable 2- to 3-year payback period on average. As of March 31, we -- our registered loyalty club members reached 25.2 (sic) [ 25.1 ] million, reflecting a remarkable 25.7% year-over-year growth. The average number of members per store has now surpassed 24,500, serving as a strong catalyst for our future growth. On marketing, to offset the seasonal slowdown caused by the extended Chinese New Year Holiday, Tims China implemented a series of strategic initiatives in Q1, including co-branded collaborations and a brand birthday campaign. These efforts are designed to drive traffic, increase average transaction value and establish new consumption cases. Ahead of Lunar New Year in January, Tims partnered with Oatly during the breakfast daypart to boost sales and collaboration featured limited-time menu items paired with branded and merchandise enhancing value and helping lift consumers' average spending. In March, Tims launched a co-branded campaign with the Eagle Brand Americano, Ginseng, to reinforce its health-conscious positioning and [Technical Difficulty] white-collar professionals leveraging Eagle brand's strong appeal within its key demographic. Aligned with the post-holiday period the 61st Tim Hortons brand birth anniversary initiatives was strategically timed to accelerate recovery from the new year [indiscernible]. During the peak period, Tims [indiscernible] Chinese version of Double Double and seasonal comeback of its signature products, Tims Donuts, we believe that cultivating a stronger emotional connection around the brand birthday will help deepen consumer recognition and loyalty in the long term. At this time, I would like to turn it over to our CFO, Albert Li, to discuss our first quarter financial performance in more detail.
Dong Li: Thank you, Yongchen. We continued to demonstrate our capabilities to further improving our financial performance by refining store unit economics and driving efficiencies at both store and corporate levels. Our sub-franchisee and retail business also contributed to steady cash flows and profitability. During the quarter, we further improved our company-owned and operated store contribution margin and adjusted corporate EBITDA margin by 5.9 percentage points and 6.1 percentage points, respectively. We remain focused on delivering high value for quality healthy products and sought-for services to our ever-growing customer base. Our overall monthly average transacting customers reached 2.92 million in Q1 2025, a 4.3% increase from 2.80 million in the same quarter of 2024. Additionally, digital orders as a percentage of total orders rose from 85.4% in Q1 2024 to 86.3% in Q1 2025. We continue to enhance our digital capabilities to meet the growing demand for delivery and takeaway services. In Q1, our company-owned and operated store revenue dropped by 14.0% year-over-year, which was primarily due to the closure of certain underperforming stores and a 6.5% decrease in same-store sales growth. In the meantime, revenue from our franchised business and retail business increased by 28.6% year-over-year. The number of our franchised stores increased from 302 as of March 31, 2024, to 455 as of March 31, 2025. Our system sales increased by 3.5% year-over-year. We also made significant progress in boosting operational efficiency in Q1, citing the state for our long-term sustainable growth. Through refinements in our supply chain capabilities and the economy of scale, we reduced the food and packaging costs as a percentage of revenues from company-owned and operated stores by 4.3 percentage points year-over-year. Food and packaging costs accounted for 30.4% of our company-owned and operated store revenues during the quarter. We continued to streamline our operations by pruning underperforming stores, refining staffing arrangement and optimizing store managerial efficiency. These actions led to a year-over-year reduction in labor costs and other store operating expenses as a percentage of revenue from company-owned and operated stores by 2.4 percentage points and 1.1 percentage points year-over-year, respectively. Benefiting from our cost optimization measures and increased brand recognition, our marketing expenses as a percentage of total revenues decreased by 0.1 percentage points year-over-year. Our general and administrative expenses decreased by 4.9% year-over-year, which was primarily due to a reduction of our headquarter headcount and other cost optimization measures. Without the above positive effects, we have been able to improve adjusted corporate EBITDA margin by 6.1 percentage points in Q1. Turning to liquidity. As of March 31, 2025, our total cash and cash equivalents, time deposits and restricted cash [Technical Difficulty] RMB 211.4 million, USD 29.1 million, compared to RMB 184.2 million as of December 31, 2024. The change was primarily attributable to the drawdown of additional bank borrowings, partially offset by cash disbursements on the back of the expansion of our business and store network nationwide. Moving into the second quarter of 2025. With profitable growth always being front and center of everything we do, we are poised to further enhance our operational efficiencies such as supply chain optimizations and rigorous cost controls, to roll out our differentiating made-to-order fresh and healthy food preparation model to drive traffic, to optimize the overall store unit economics and to accelerate the expansion of our successful sub-franchising. I will now turn it over to Yongchen for concluding remarks followed by Q&A.
Yongchen Lu: Thank you, Albert. Our first quarter performance reflects continuous improvements and the resilience in our business and execution as well as challenges and opportunities in this industry in China. We extend our sincere gratitude to our guests, team members, business partners, shareholders and everyone supporting our endeavors and journey. Together, we have built over 1,000 stores in 84 cities, a robust community of over 25 million loyalty club members, a unique Coffee Plus Fresh Prepared Food business model, offering the best value for quality products, a unique advantage of offering franchise opportunities as an international coffee brand and refined store unit economics with payback period within 2 to 3 years. With these milestones behind us, we are steadfast in our commitment to sustainable profitable growth and generating long-term value for our shareholders. I will now turn the call over to Gemma for today's Q&A session. Gemma?
Gemma Bakx: Thank you very much, Yongchen. We will turn it over to Q&A and open it up for our registered questions. Let's begin with the first question. Go ahead, Desmond.
Operator: [Operator Instructions]. Our first question comes from the line of Steve Silver from Argus Research Corporation.
Steven Silver: Given that there were just a few net store openings in Q1, curious as to what your current thoughts are on the outlook for new store count for the full year as well as the pace at which the company plans to work through the significantly growing number of franchise applications?
Yongchen Lu: Thank you, Steve, for your question. Yes, and as you know, Q1 usually is kind of the slowest quarter for the company, usually for the industry, as we all know. And also, we continue to strategically prune certain nonperforming stores, both company-owned and franchisee stores during the first quarter. And also, as you know, we launched the made-to-order model from last year, which has been proving very successful in China [Technical Difficulty] in quarter, actually, we closed 10 -- no, in total, we closed 18, but among them 10 are not made-to-order stores, those were express stores, very small, cannot offer the made-to-order to our guests. So intentionally, we closed those stores. And we actually opened 20 made-to-order stores in Q1. And this will accelerate in the second quarter and especially in the second half as usual how most of the stores will be opened in the second half, especially in Q4, as usual. So we continue to aim to open around 200 made-to-order stores this year.
Steven Silver: Great. And there's been quite a lot of activity announced from the Chinese government related to stimulus aimed at spurring consumer activity. I'm curious as to your thoughts about the current state of the Chinese consumer and how you're viewing that as it relates to the Tims business?
Yongchen Lu: I mean -- yes, I mean, the government is doing something, but not in a large scale yet. And after Chinese New Year, the consumers [indiscernible] didn't improve a lot given the launch of DeepSeek, as you know, the AI platform and also [Technical Difficulty] in China. So the sentiment of consumers didn't improve. But the economy remains, okay, a bit struggling. So I mean the government is still contemplating what policy can be very effective in China. So we are still waiting to see the policy to come out and to see the effect on the consumption side.
Steven Silver: Great. And one last one, if I may. As you think about the competition and the continued growth in the overall market in China, I'm curious as to just how you think about right now competing in a more intense value competition given the market?
Yongchen Lu: Yes. I mean, I think the market has become actually more rational, especially on the coffee side. I mean the last year or the year before, the competition was really driven by the 2 companies, Luckin and Cotti. And so as you know, both companies have been founded by the same person, and so they are so similar. So they are really competing on a price point. So I mean, for us, we're not intent on getting to the pricing war. We try to differentiate our play. That's why we really focus on our differentiation point, the coffee plus fresh prepared food combos. And from last year, we converted most of the stores into made-to-order, further not differentiating our food offerings. And we are very strong in breakfast, as we all know. And this year, we launched the Light & Fit Lunch Box for the lunch daypart, which has been successful so far. So we try to differentiate our place, and we try to make our combos really competitive. So for breakfast items, one coffee plus one bagel priced at RMB 19.99, USD 3. For the lunch, we price around RMB 30 with Chibaobao 40%. The lowest can be RMB 34, nearly about USD 3.5. So the combo itself is very competitive in China, and we have seen continuous momentum on the combo growth here in China.
Operator: [Operator Instructions]. I'll hand it back to Gemma for web questions at this time.
Yongchen Lu: Hi, Gemma, is there any questions from the web?
Gemma Bakx: My apologies, that was on mute. Could you please give us an update, is what [ John Norwood ] is asking, on same-store sales and margin trends since the end of March?
Yongchen Lu: Sure. Yes, I mean same-store sales is a very important operating metrics that we closely monitor. I mean the fluctuations in the same-store sales growth over the past year reflects the short-term uncertainties in China's economic and consumption sentiment and the intense industrial competition, as I mentioned earlier, it's really between Luckin and Cotti, which really draw the whole industry into the pricing war a bit. But in the mid to long term, with increasing customer demand in coffee consumption from both expanding coffee population penetration rate in the rising frequencies [Technical Difficulty] significant room for the growth in coffee sector. We have seen an improving trend in the same-store sales growth since October 2024, and our strategic goal remains unchanged to achieve positive same-store sales growth in 2025, especially in the second half of the year, we have seen strong momentum here right now. Another improvement we have seen is that the comparable transactions on a store level has regained growth since April. And we have seen part of same-store sales in recent weeks. So that's why we are very optimistic about our second half same-store sales growth. And as I mentioned again and again, Tims China is not solely focused on the coffee market, we continue to see strong and growing demand for our fresh prepared healthy food products. For example, our latest lunch of Light & fit Lunch Box series of products have been really welcomed by the market, achieving an average of 20-plus incremental daily transactions per store setting a very good foundation for continued growth in Q2 and beyond. Back to you, Gemma. Anymore more questions?
Operator: [Operator Instructions]
Gemma Bakx: It seems that we have no more questions. Is that right, Desmond?
Operator: That is correct. So with that, that concludes today's question-and-answer session. I would like to hand the call back to Yongchen for closing remarks.
Yongchen Lu: Yes. Thank you, everyone, for taking your time and listening this webcast. We have promised to deliver positive same-store sales for the year, and we'll continue to improve our profitability quarter-over-quarter. Thank you. We'll talk to you again in the next quarter. Thank you.
Gemma Bakx: Thank you all very much.
Operator: That does conclude today's conference call. Thank you for your participation. You may now disconnect your lines.